Operator: Good evening, and welcome to the First Quarter 2024 Grupo Bimbo Results and Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Daniel Servitje, CEO and Chairman of the Board. Please go ahead.
Daniel Servitje: Good afternoon. Thank you very much, Ashley. And everyone, thank you for joining us. Connected on the line today is our CFO, Diego Gaxiola; Rafael Pamias, our current COO and future CEO; and Mark Bendix, Executive Vice President; and several members of our finance team. After more than 100 calls - , that's incredible - today is my last earnings call. Having just turned 65 years old, and after 43 years of working full time in Grupo Bimbo, I want to take a step forward and have made a decision to pass the CEO baton and become the Executive Chair of Grupo. On top of being the Chairman of the Board, I will continue to be highly involved on all aspects of the strategy and execution of the company. I will focus on our growth strategy, competitiveness and long-term view while promoting the culture and focusing on talent development of generations to come. We will continue to double down on quality, innovation and R&D. Having said that, we have appointed and the Board has approved Rafael Pamias as the new CEO of the company. He is an excellent operator and strategist with a global vision. I thank Rafa for having accepted this great challenge. And I am sure that he will do a magnificent job in this responsibility, and he has all my support and guidance to accompany him on this new, exciting path. Now, Rafa, if you want to share a few words, please go ahead.
Rafael Pamias: Hello. Thank you, Daniel. I hope everybody is listening correctly. Good afternoon, everyone, and thank you for joining us today. I am very excited and deeply honored to have been assigned this great responsibility. Grupo Bimbo is an amazing company and with a brilliant future. And I will make sure that we continue this path of success with a long-term view while preserving our culture and philosophy. We are, and will continue to be, a humane company with an optimal vision of humanity, consumer-centric, sustainable and highly productive. You will be listening to me now every quarter. I hope to meet you each one of you soon. Thank you, Daniel, for this great opportunity. And with that, I leave you to it.
Daniel Servitje: Thank you very much, Rafa. And now going into the results. Following a record 2023, we're kicking off 2024 as a year of investing and transforming our business with the first quarter where we saw the benefits of geographic, category and channel diversification, which allow us to invest in a business unit for future growth, which is the case of North America. We completed four bolt-on strategic acquisitions globally, including one in Tunisia, a new market for us, expanding now our global presence to 35 countries, while boosting growth and profitability in regions like Mexico and EAA where we experienced strong growth despite a tough comparison and 90 and 30 basis points expansion in our adjusted EBITDA margins, respectively. Now looking into the results by region for the quarter. In Mexico, despite a very tough comparison of the first quarter of 2023, where we posted almost a 20% growth rate and the calendar effect of the Easter week, sales improved by over 3%, but excluding this effect, sales improved by over 7%, mainly due to sustained growth across almost every category and every channel, a positive price/mix effect, increasing the value to our consumers with two quarters in a row with positive volume evolution after a year of high inflation. Adjusted EBITDA margin strongly expanded 90 basis points, reflecting the favorable price/mix effect, lower commodity costs and productivity savings throughout the supply chain. In North America, top line declined 4.5%. This is in line with what we were expecting and shared with you in the last earnings call. After several years of heightened demand, higher inflation impacting the consumer and the elimination of SNAP benefits in the U.S., consumption has been constrained along with the shift to value. We also have a tough base of comparison. As the first quarter of 2023, our sales increased by over 15%, and we have been optimizing the portfolio through complexity reduction and some non-branded exits as an enabler to improve efficiency and the effectiveness of our supply chain, which has impacted our volume performance. We continue to evaluate promotions to ensure we have competitive pricing in the marketplace and enable the right price/volume equation. Our promotional activities continue to drive consumer engagement and market penetration, and we anticipate modest sequential improvement in volume throughout the remainder of this year. On the other hand, we saw improving trends for categories like sweet baked goods, cookies and salty snacks in the region. Despite lower commodity costs and the realization of productivity benefits. Adjusted EBITDA margin contracted 160 basis points due to the top line performance, the strong Mexican peso impacting product costs imported from Mexico, general inflation and transformational investments across our value chain. I would like to take a moment to discuss the U.S. multiyear transformation work that is underway. To provide some context, since the acquisitions of George Weston and Sara Lee in the U.S., we have invested over these years in strongly transforming our manufacturing footprint. In fact, we have integrated 74 bakeries, opened five new bakeries and closed 29 in the last 15 years, while increasing our revenues and outperforming market growth. We will keep looking for opportunities to optimize the efficiency of our supply chain. Currently, we have identified great opportunities to invest in transforming our distribution network by installing next-generation distribution centers to structurally cut ongoing operating costs and at the same time, increase our penetration in channels where we see the opportunity to do so with the right product portfolio. We continue to prioritize a consumer-centric mindset to ensure we have the right products where they shop to capture the consumer needs and micro locations through purposeful innovation and price pack architecture. We will improve profitability through efficiency and waste elimination, which will enable us to reinvest in our brands, people and technology transformation. We are committed to our long-term performance, which is reflected in our investments for growth in capacity as well as investments to drive productivity and enhance business capabilities. Moving on to Latin America. Excluding FX effect, net sales increased 4.5% mainly as a result of the strong results of Brazil and Argentina as a reflection of a strong focus on execution, right price strategy and volume strength. Adjusted EBITDA margin was affected by a challenging, competitive environment in countries like Chile, Colombia and Panama and the devaluation in Argentina. We are working on maximizing consumers' value and meeting their needs by continuing to strengthen our brands through innovation and differentiation as well as focusing on operational execution and cost discipline. We've come a long way in Latin America and have now a solid business model through our geographies. In fact, we have expanded nearly seven percentage points in the past five years and still have opportunity to grow and strengthen our profitability in the future. We also acquired [indiscernible] the leader in sweet baked goods and a participant in cookies and snacks in Costa Rica. This acquisition will consolidate our position as a relevant participant in the sweet baked goods market, complement our brands and increase our penetration in the country. In EAA, excluding FX effects, sales increased 5.3%. This was mainly due to strong sales performance across most organizations, especially Bimbo QSR, which posted double-digit growth rates, and Bimbo India, coupled with the inorganic contribution from the acquisitions of Amaritta Food in Spain and Trei Brutari Romania. Remember that this is the first quarter where we don't see the inorganic contribution from Bell Pita also in Romania. It is now comparable. The adjusted EBITDA margin expansion of 30 basis points resulted from the strong sales performance and lower cost of sales, which was partially offset by expenses coming from the closure of a bakery in El Vergel, Spain. Excluding this effect, the margin expanded more than 300 basis points. I would like to share with you that we opened a new bakery in Hubei, China, which will be producing buns to our main QSR customers in the region. And we successfully completed three acquisitions with leadership positions in high per-capita consumption countries of baking products within the region. Trei Brutari and their franchisees in Romania, a producer of bread and cookies and the second largest player in Bucharest and the south region in the modern channel. This acquisition will strengthen our position in the packaged bread category with a well-known national brand, Borrasca and other regional brands in Romania. Earlier this month, we also acquired Moulin d'Or, the market leader in branded sweet baked goods in Tunisia. This marks our entrance to the second highest bread consumption per capita country in Africa. And with this, we expand our global leadership, as we mentioned, to 35 countries. We also acquired a 30% participation of UNO, the leader in packaged bread in Turkey with a strong brand recognition. This allow us to enter the highest bread consumption per capita country in the world. Remember that we are already present in Turkey, but only through our Bimbo QSR division. We bought 30% of this company, and this is the first of several steps as we have the option to acquire the remainder in the coming years. With this, I would like now to turn over the call to Diego, who will walk you through our financials. Please, Diego, go ahead.
Diego Gaxiola: Thank you, Daniel. Good afternoon to all, and thank you for joining us today. The first quarter results were good, but mostly resilient, considering the super peso impact and the top comparison that we have for the first quarter of 2023, where we reported record results in several metrics, including an 18.4% growth in net sales, excluding the FX impact, and a 40 basis point EBITDA margin expansion. We saw the benefit of lower raw materials in our gross margin with an expansion of 90 basis points, which was offset by the soft volume performance in North America and higher labor and indirect costs, which led us to a slight EBITDA margin contraction of 30 basis points. Clearly, being a diversified global company has its pluses and minuses. North America had a soft start of the year, as we expected, while Mexico and EAA came in strong, even considering the tough comparison that we have and the Easter week effect, which enables Grupo Bimbo to continue to be in line with our expectations in local currencies. Moving on to the balance sheet. We closed the quarter with a net debt to adjusted EBITDA ratio of 2.3x, and our total debt closed at MXN 128 billion. The increase in our debt position when compared to 2023 was because of the issuance that we completed in January, which wasn't still reflected in our fourth quarter results, and we still have the proceeds to pay for the outstanding 2024 senior notes, which are also reflected in our cash position and also because of other strategic investments, including the bolt-on acquisitions that Daniel just mentioned. Although only two of them were closed during the quarter, as UNO and Trei Butari, while the other two, Moulin d'Or and [indiscernible] were subsequent events. So you will see the effect until the second quarter financial. As for our guidance of the year, given the continuous appreciation of the Mexican peso, we are adjusting by $0.40 our expectation of the FX for 2024. As nearly two-thirds of our business is outside of Mexico, these adjustment cost of $0.40 represents an impact of approximately 1.5 percentage points in our top line growth for the year. So according to this effect, we now expect a flat to low single-digit top line growth as compared to an initial guidance of low to mid-single digit. As for the EBITDA, there is a similar effect from the FX as close to 50% of our EBITDA is outside of Mexico. So the impact is close to one percentage point of growth. So we are now expecting a low single-digit growth in EBITDA. Even though North America had a soft start, EAA and Mexico have been outperforming in local currencies. And that is why we adjust only for the FX effect in our guidance. But we remain confident for the expectations for the year in local currencies. Remember that for the first half, we are still expecting a margin contraction as we mentioned in our last conference call, while we do expect a margin expansion in the second half of the year, which will translate into a flat to a slight margin expansion for the full year of 2024. We can now proceed with the Q&A session.
Operator: [Operator Instructions] Your first question comes from Fernanda Olvera with Bank of America. Please go ahead.
Fernando Olvera: Hi, good afternoon everyone, and thanks for taking my question. First of all, congratulations, Daniel and Rafael, for your new roles. I wish you the best.
Daniel Servitje: Thank you very much.
Fernando Olvera: And now, if I may, I have a two questions. The first one is related to the acquisitions you mentioned in the press release. Can you comment how much did you invest in these acquisitions? And also, given that you just changed the guidance, can you comment if these acquisitions are included or not in your guidance? And if not, how much they will contribute to growth? That's the first question. I have a second one.
Diego Gaxiola: Fernando, this is Diego. Well, we still haven't disclosed the specifics for the acquisitions. I mean, shortly, we will do, once we finish the year as a whole how much we invest every year on the total inorganic growth strategy. These acquisitions, I would say that moving the needle on the P&L of the company, will contribute more in the long term from a strategic approach with a position that we're winning either in Costa Rica, in the sweet baked good category, growing substantially in Romania, which is probably it's not going to be a big reflection at the Grupo Bimbo level or it is very relevant for Romania and the economics and the synergies that we can create and the value that we can bring to Grupo Bimbo through these acquisitions and also entering a new important market in Africa. So I would say that more than being focused on the contribution on the organic growth, which, again, it is not moving the needle, we're not changing the guidance because of this. It has an important strategic approach.
Fernando Olvera: Okay. Perfect. And my second question is related to LatAm, if you can mention what would have been the performance of the EBITDA, excluding the closure of the bakery in Brazil. Thank you.
Rafael Pamias: I'm going to take that one, Diego. Or do you want me to start and then you will continue?
Diego Gaxiola: As you wish, Rafa.
Rafael Pamias: Yes. Yes. Okay. When it comes to LatAm, we have experienced some temporary negative effect of the performance of a couple of our geographies, namely Colombia, Chile and Panama. In Chile, we have experienced a very tough competitive environment, especially on pricing. And Colombia, the consumption in overall is very weak across categories. And on top of that, we're beginning to see across the category and the players, the impact on the new food tax, which is affecting many process categories. And last, but not least, in Panama, we have some temporary situation related to operational changes. We're in the middle of the process to change our go-to-market where we already see green leaves as an effort as a result of that. So when you take a look at this effect of these three countries affecting, so you will get the explanation of why we have had soft results despite the fact that we had a good valuable contribution. So it is net-net, the temporary volume softness in these three geographies with the fact that we have new capacity in place and ready to go. So this is, in summary, what it has happened. And again, reminding you what Daniel was saying some minutes ago that we have come a long way in LatAm with seven margin points in five years, all geos on positive trends, and the successful turnaround in Argentina and Brazil. So we're happy with what we have done over the last years, and we're happy for the future of LatAm, too.
Fernando Olvera: Okay. Now that's great, Rafael. And in the case of the closure of the bakery in Brazil, how relevant was the impact on EBITDA?
Diego Gaxiola: I can take it, if you want, Rafa. The impact, it is not very material. I'd say, it's a little bit less than 1% of the revenues of the LatAm region in the quarter. I mean, in other expenses or nonrecurring expenses, we did have the closure of Santa Maro. We also had some other expenses related to some legal processes that we're facing in Brazil, mainly from the labor side. So that's it. I mean, it's a little bit of what's affecting as a nonrecurring charge in the region in the quarter.
Fernando Olvera: Okay, great. Thank you, Diego.
Operator: Your next question comes from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Hi, good evening, and thanks for taking my question. Also, Daniel, all the best in the new role. Rafa, welcome. Just two quick ones on my side. So first of all, as we look into the performance in between North America and Mexico, can you potentially share a little more color as to the different subcategories volume performance? And then particularly in North America, how you've been performing against private label. That would be my first question.
Rafael Pamias: Can you take North America, Mark, and I will follow on?
Mark Bendix: Happy to, happy to, happy to. Good afternoon, Ben. And welcome, everyone. Thanks for joining the call. First, the volume softness from North America, a big portion of that was some strategic exits of some private label business that we felt had no longer utility for our business. So you're right to look at that and understand that private label is a piece of that. In private label, if you look at overall edibles and consumption across all the CPGs in North America, the one area that's growing is the private label category. And consumers are becoming more value-conscious as the SNAP benefits are now retired. So we've seen that. We see our portfolio as resilient. And sequentially, as we look out for the rest of the year, we see that mitigating in our branded business beginning to grow again moderately as we exit '24.
Ben Theurer: Perfect. And then my second question is on Mexico, just following it up there. You've highlighted, obviously, the higher operating cost. So just wanted to understand if you could potentially help us break this down from what you've left between gross profit into the operating income/EBITDA on the margin. How much of that's really related just to minimum wage increases, and how much of that was related maybe to some of the investments you've been doing in the country. So just so we know how much is like structure and how much might be just transformational.
Diego Gaxiola: Ben, this is Diego. I mean, as you saw, we had a very strong quarter in Mexico, even with the calendar effect of the Easter week, which, of course, will be on the other way for the second quarter, and it's going to help us on this quarter. Now what happened for the expenses was the combination of higher labor costs and also that we have been a little bit more aggressive on the Push strategy and with some additional distribution expenses that have helped us to drive volume increases across many different categories in the country.
Ben Theurer: And that's expected to last, I guess, right, that higher distribution expenses just to have that volume?
Diego Gaxiola: Yes, yes, but again, not necessarily with the same magnitude as we saw there in the first quarter. Just with having - not having the Easter week effect, it will impact us substantially less because when you see it in a quarter, it's like 3%, 4% of the revenues that we lost because of the Easter week. I mean, that's something we recovered in the second quarter with an easy comparison versus last year.
Ben Theurer: Okay. Got it. Very helpful. Thank you.
Rafael Pamias: I would complete that we are preparing for any scenario. And there are projects on efficiency, on different degrees of automation and some changes in part of our operating model that, by design, are less labor-intensive. So we are, in any case, ready and anticipating.
Ben Theurer: Thank you.
Operator: Your next question comes from Alejandro Fuchs with Itau. Please go ahead.
Alejandro Fuchs: Hello, Daniel, Rafael, Mark, and Diego. Thank you for the call and the space for questions. And best of luck to Daniel and Rafael and their new responsibilities. I have a quick one on my side, and it's related to the optimization of the portfolio in the U.S. that you just mentioned. You said that you were leaving some non-branded part of the portfolio in the U.S. And I wanted to understand if we should expect this optimization maybe to go not only into the U.S., but maybe other regions where you have relevant, wide-band products such as Spain or LatAm or the QSR space. I wanted to understand maybe if this should be a strategy that goes beyond the U.S. And what led you exactly to this decision in the U.S.? Is it to protect margins? Or if there is something more than we should know? Thank you.
Mark Bendix: Great. Let me begin with us, Rafael, and then I'll let you continue. Thanks for the question, Alejandro. First off, elimination of our non-branded business is not a strategy that we are executing. There are pieces of business that fit our portfolio in a certain way. And if they can coexist in a profitable way, then we'll accommodate that. But if they don't, then we'll make certain decisions to exit certain private label businesses, which we did in the U.S. So I want to be absolutely clear that it was not an overarching strategy of exit of private label. There is some value to private label if we work cooperatively. Secondarily, what I would say is you heard in Daniel's comments in his opening, he talked about the dynamic nature all of the acquisitions that have been made in the U.S. that built this business, and it's a privilege now to manage it, but it's also a huge responsibility to take that dynamic portfolio and make sure that we are transforming the systems and the people and the processes to enable that dynamic portfolio. So we have a diversified and strong execution business in North America. And our journey and our track record are strong and demonstrated by our continued growth in both sales and profit. And we continue to see that as a possibility with DC automation, with saturation expansion, with digitization, logistics and manufacturing. So we are reinvesting to enable that stronger portfolio across North America. I'll let Rafa handle the question in terms of Latin America and the European markets.
Rafael Pamias: Yes. I would just underline what you said. Actually, we do not have a global strategy for private label. I mean we're open to reach and follow the shopper wherever they go, where it makes strategic sense. I would summarize it that we are open for business, right? So wherever it makes sense, we're going to go, branded and branded, in order to satisfy fully our shoppers, right, country by country. When it comes to LatAm and Europe, our first effort when we start a serious revenue growth management exercise is to bring simplification, reduce internal cannibalization, and make sure that we're focusing to give space to kill products and brands. So the first exercise always is to try to understand what are the winners and the losers. Having said that, we are very eager to be fully present in all the categories we have participation because this is bringing more options to consumers. And this is also giving more resilience to our objective to go after every point of sale. So after making the necessary efforts to pinpoint the winners, we are eager to do price pack architecture, and we come with presence in different categories, which give us access to the smallest point of share. And we give different formats the opportunity to better tailor shopping missions per channel. So - but we are doing yearly exercise to make sure that our SKUs are the ones that the consumers and the shoppers are looking for.
Alejandro Fuchs: Very clear. Thank you very much.
Operator: Your next question comes from Renata Cabral with Eleven. Please go ahead.
Renata Cabral: This is Renata Cabral from Citi. Thanks for taking my question and congrats to Daniel and Rafa for your new responsibilities within the company. So my question is - are two actually and two follow-ups. So the first one, the follow up, regarding the closure of the bakery in Brazil. It's more related to company's strategy. So should we expect some new closures in - maybe in Brazil, other parts of the world as we know that Bimbo is always seeking for efficiency. So it's a movement that we can also expect in the short term and other operations as well. And the second question is also a follow-up regarding the private label trends' increasing penetration in the U.S., just to understand the view of the company, you that are inside the operations, has a better sense than our south here to understand if you see this trend being more temporary, may be stronger in the first half of this year and becoming soft one in the second half and maybe next year? Or it is something that the consumer is testing and maybe you're going to stay for a long period of time. I just wonder how you are perceiving this trend. Thank you.
Rafael Pamias: I might start with a general question on more closures. This is definitely not a driving strategy. Obviously, we take every advantage to bring efficiency to the system, but let me tell you that we are bakers. And as bakers, you may perceive us, which we are, we are holding less than 5% of market share. So there's a role to feed. So this is just the strategies on a one-by-one basis when we cannot track value on a given situation. But we are not - we are - were on a strategy of long-term growth.
Mark Bendix: And Renata, just to follow-up on your private label question for - particularly for the U.S. As we all know, there was acute food inflation for a period of time now that I think caused some of our consumers to migrate towards other value brands. But holistically, this is not a strategy for us. We continue to evaluate and optimize all of our assets, ensuring that we have the capacity needed to meet the consumer and customer demands and the right products and the right brands. So we remain optimistic that the consumer will come back to our branded products because it was superior facets and superior delivery of quality. So we remain optimistic for the second half of the year that we'll see modest growth return in the back half.
Renata Cabral: Thank you.
Diego Gaxiola: This is Diego. Let me complement also a little bit more on what Rafa mentioned. As he said, we do not have a strategy to continue to close plan. That only - that stage already happened in the past when we , particularly in the U.S. had to close several plants. And for many years, we had some nonrecurring expenses every year on our results that, of course, contributed to have the profitability that we have today with the efficiency that we have in the U.S. Now from time to time, hopefully, we will find an opportunity to restructure a little bit the manufacturing footprint and reallocate part of the production to a different plant. And by that means we will be willing to take the hit on the quarter because we feel confident and we have all the support that these type of decisions will bring value. And they have - although they have to go to the P&L, I would say that our focus is more like if it's an investment. Although on an accounting perspective, it's an expense, it is something that clearly will bring future value to the company.
Renata Cabral: Thank you so much.
Operator: The next question comes from Carlos Laboy with HSBC. Please go ahead.
Carlos Laboy: Yes, good evening, everyone. Congratulations, Daniel and Rafa. Daniel, given how profoundly you've transformed Bimbo over the past three decades, I was hoping you might speak to us a little bit tonight about your vision of what you're looking to transform the U.S. business into? And from what? And I suspect this has multinational implications, but I'm keen to hear on what your vision implies and means for how Bimbo might emerge as a different or a better type of market developer and a different type of brand developer. And then for Diego, any insights that you can give us on the scope of the investments that this implies would be helpful. Thank you.
Daniel Servitje: Well, thank you very much, Carlos. And I always appreciate your strategic eye on the industries. I mean, as I related to in the comments earlier on, I mean this has been a very long journey for me and for Grupo Bimbo with me for these past 27 years. And specifically in the U.S., we have embarked over the years in a lot of acquisitions, closures of many bakeries, opening new ones and transforming the ones that we kept. And this is, I would say, a process that's still unfolding. We didn't have the cash to do it in such a period, and it will remain as part of the initiatives that we will continue to do so. As we mentioned before, we are seeing now this opportunity to revamp our distribution effort and specifically to try to modernize our logistics and our distribution centers, and this is the next stage for us in this region. And alongside with that, we also have been beating up our capabilities to be a more consumer-centric company as we have outlined. And that comes with investments in all fronts of what that requires to be so. So in a nutshell, I would say that our U.S. business is critical for Grupo Bimbo. It's one piece that we see as central to our future development and one that we want to strengthen to be able to capture the potential that it has and that we still have not yet materialized as we envisioned. Thank you.
Carlos Laboy: Diego, might you have any insights on the scope of the CapEx or the investment, that step-up that you might be seeing in the U.S.?
Diego Gaxiola: Yes. I mean, the CapEx is already included in the guidance that we provided for the year, Carlos. As you know, we do not provide the specific figure by region or by concept. What I can tell you is that it is included both: On the CapEx line with the guidance, but also on the EBITDA line as some of the investments will have to be recognized directly to the P&L as a nonrecurring expense.
Operator: Your next question comes from [Jorge Lascaro] with BTG Pactual. Please go ahead.
Unidentified Analyst: Good afternoon. Thank you for the space for questions and congratulations, Daniel and Rafa. My first question is on CapEx. How should we think about normalized CapEx levels for 2025 and 2026? I know it might be too early to tell, but any color you can share would be helpful. And the second one is regarding the traditional channel in Mexico. Could you please share some comments on volume performance relative to your expectations, please? Thank you very much.
Diego Gaxiola: Jorge, Diego again. Regarding the question for the CapEx, we think that the CapEx peaked last year. As you know, it was very intensive with more than $2 billion. We are expecting a slight decrease for this year and might probably be a little bit of the same, a slight decrease for 2025 and probably see a normalization in '26 going forward.
Rafael Pamias: When it comes to channel performance in general and then traditional channel, I would say that modern trade, convenience stores, supermarkets, even our auto, outperformed very good in the high single digits. What we see in modern trade is some softer development, however, positive. And I have to remind you that we have the negative comparison with the Easter week. So if we net that effect, our DSD channel is performing quite well. The weather, the hot weather and seasonal hard weather didn't help certain categories we think we pay goods. But we are in overall, including DSD, happy with the performance. And we are committing to every channel, and we are also committed to mom-and-pops because of the importance of the economic and social habit of Mexico in Mexico. So we are committed, as I said before, to follow the shopper wherever they go.
Unidentified Analyst: Great. Thank you.
Operator: [Operator Instructions] Your next question comes from Felipe Ucros with Scotiabank. Please go ahead.
Felipe Ucros: Thanks, operator. Good evening, gentlemen. Daniel, Rafa, I echo my peers. Congrats on the new roles. Maybe I wanted to do a follow-up on private label. This call and the last few quarters, we've talked about it, about private label in the U.S. and then a little bit about Mexico, which was asked last quarter. But I'm just wondering if you can comment about how private label has been evolving in Latin America. As a still developing market private label has been historically pretty low versus North America and Europe and in LATAM, I'm just wondering how that has developed in the last, I don't know, half to take decade and what you're seeing in your categories in particular? Is this is a growing segment that have any threats and opportunities or has been muted for the most part?
Rafael Pamias: So you go first in North America. Or it was a question on LatAm on the Embraer, yes?
Felipe Ucros: LatAm only.
Rafael Pamias: Okay. Sorry, excuse me, I didn't quite catch the beginning. So private level has been historically of real importance in Latin America. However, in the last years, we have seen some forms of trade here and there, notably hardest counters that have been heavily leaning on that and branded proposition. So what we have experienced is a growing appetite for shoppers to not only visit those types of outlets, but also buying those unbranded offer. So we have recognized that. And this somehow to pricing the velocity that they are taking. And as a consequence, we are taking very seriously the opportunity to grow and participate in that segment. So net-net, growing, depending on the country with very different performance, and we are ready. And again, I'm sorry to repeat it again, we are ready to follow the shopper wherever they go. So they're going to find us in every - with every kind of offer available.
Felipe Ucros: No, that's very clear. Maybe if I can do a follow-up, specifically on the U.S., which you've also discussed quite a bit. But just wondering, clearly, you've mentioned that there's a lot of consumer weakness with SNAP benefits and educational loans hitting the consumer. But are you also seeing anything on the competitive environment that is unusual or not as rational as it's been before? Or is it mostly a consumer-focused issue on the volumes?
Mark Bendix: What we're seeing, honestly, is really a consumer focus. There really hasn't been a competitive threat that has disabled any of us. If you look at total consumables, most CPGs have the same lack of growth in their base business with the real growth area has been in private label. So that's the main driver, more than any other dynamic. Again, we see that mitigating as we get later into the year. We have fully lapped the SNAP benefits now. Consumers, it's a healthy economy in the U.S. And so we see sequentially a slight improvement as we go quarter-to-quarter from here.
Felipe Ucros: Okay, very clear. That's what we're seeing too. Thanks a lot.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Daniel Servitje for any closing remarks.
Daniel Servitje: Thank you very much. This was my last call, and I want to thank you, all of you, for your interest in our company. And I know that we will be in better hands with Rafa. So thank you for your time today, and please do not hesitate to contact us with any further comments or questions you may have. Many thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect..